Christina Schartum: Good morning, and welcome to the presentation of Aker's Fourth Quarter Results for 2024. My name is Christina Schartum, and I'm Head of Communications at Aker. With me today, I have Aker's President and CEO, Øyvind Eriksen; and our CFO, Svein Oskar Stoknes. We will begin today's presentation with Øyvind, who will take you through the quarterly highlights and recent developments in the portfolio. Svein Oskar will then cover the quarterly financials in more detail. After the presentation, we will host a Q&A session. You can submit your questions via the chat on your screen during or after the presentation. And with that, I hand it over to Øyvind Eriksen.
Øyvind Eriksen: Thank you, Christina, and good morning, everyone. I want to begin with a few words on the current market dynamics. In my 16 years at the helm of Aker, I have never witnessed this degree of volatility, uncertainty and fragmentation. We are witnessing a shift towards protectionism and transaction-driven approach to trade and industrial development. The days of free trade and globalization with easy access to markets, people, capital and technology may effectively be over. This is also the backdrop for which Aker presents the fourth quarter 2024 results and our strategic priorities going forward. Aker's net asset value was NOK58.2 billion at the end of the year after dividends paid and NOK60.8 billion before dividends. This compares to NOK57 billion the quarter before. Our share price was up nearly 7%, including dividends. Overall, 2024 was a very active year for Aker. We successfully completed several important transactions aligned with our strategy of a more streamlined and focused portfolio with solid potential for increased upstream cash moving forward. We have already announced further activities after quarter end. First, Philly Shipyard. Following the sale to Hanwha, the company announced that most of the transaction proceeds will be distributed to shareholders. Consequently, the natural next step for Philly is a liquidation of the company. Second, Solstad Maritime announced plans to list the company on the Oslo Stock Exchange during the second quarter this year. As a part of this, AMSC will distribute all its Solstad Maritime shares and excess cash to shareholders in connection with the IPO. AMSC owns nearly 20% of the shares in Solstad Maritime. Furthermore, since there will be no operational business or activities left in AMSC, the intention is to liquidate the company following the IPO. Lastly, following the sale of 80% of its carbon capture business to SLB, Aker Horizons portfolio company, Aker Carbon Capture, announced its next strategic steps to balance immediate shareholder returns with strategic investments. ACC's dividend distribution of NOK3.5 billion, 90% of its market cap allows the company to maximize shareholder value while reinforcing its ability to act as a responsible owner of the joint venture, SLB Capturi. Over to dividends. Aker has a solid track record of distributing shareholder value. Since our relisting in 2004, Aker has paid a total of more than NOK25 billion in cash dividends. In 2024, Aker distributed NOK3.8 billion in dividends, representing NOK51 per share. The Board today announced that it has proposed a cash dividend of NOK26.5 per share based on the 2024 annual accounts. And in line with the practice in recent years, a second tranche will be considered by our Board in the second half of this year. Continuing on the topic of shareholder value creation. 2024 was an active year in the Aker portfolio with more than NOK27 billion worth of transactions during the year, including the proceeds from the OneSubsea JV. Combined, Aker portfolio companies distributed upwards of NOK32 billion in dividends to its respective shareholders. This includes extraordinary dividends from Aker Solutions and Aker BioMarine, however, the substantial dividend distribution also reflects our strategy of prioritizing fewer cash-generative investments to drive value creation. Despite the current geopolitical uncertainties and market challenges, the ability to distribute such significant dividends demonstrates the resilience and strong financial performance within our portfolio. With our investments spanning various sectors, our focus on diversifying dividend sources is also paying off, contributing to the ability to generate consistent returns over time. Now taking a closer look at our portfolio composition. Our portfolio of listed companies, as seen on the left-hand side, ended the year with a gross asset value of NOK601 per share, while our unlisted investments had a gross asset value of NOK198 per share. Subtracting the debt and comparing this to our current share price, we believe there is a good potential for continued shareholder value creation moving forward. Our unlisted portfolio has several potential catalysts for crystallizing value moving forward. I already mentioned Solstad Maritime currently reported at a book value of NOK2.3 billion with increasing dividends and the IPO expected to be completed during the second quarter this year. Another example is Cognite, which is seeing strong commercial development and is well positioned within the data and AI revolution. I will come back with more details on this on a later slide. Aker BP remains a cornerstone of the Aker portfolio. The company continues to demonstrate strong operational performance, marked by consistently high production efficiency and industry-leading low costs and emissions. The company recently announced a strategic update where the key takeaways were as follows: firstly, outstanding performance in the quarter and for 2024 overall. Aker BP has a continuously improving low-cost portfolio at US$6.2 per barrel and is a global leader in producing with low emissions with a current CO2 intensity of 2.6 kilograms per barrel. Projects are progressing according to plan. Operating cash flow was record high and its financial position strengthened. The company also announced a base dividend growth of 5% in 2025. Secondly, Aker BP is set to deliver production growth into the next decade. The production performance was strong across the portfolio with 93% production efficiency and Johan Sverdrup continued to outperform expectations with a new all-time high. The company is maintaining its production outlook of more than 500,000 barrels of oil per day into 2030 and beyond based on increased Johan Sverdrup recovery of up to 75% and a target of one billion barrels from the new Yggdrasil area. And last but not least, through enhanced performance using digitalization, AI and remote operations, Aker BP is setting the standard for the future together with its partners. It's pioneering development of the first unmanned production platform ever constructed. Additionally, the Yggdrasil field will be operated from a highly digitalized control center onshore. These advancements underscore Aker BP's commitment to innovation and sustainability, positioning its – it as a leader in the energy sector, despite strong momentum in many of our investments. We have also learned some expensive lessons in recent years, especially related to the energy transition. As an active owner, we are focusing on how best to leverage our strength, especially through Aker Solutions as a supplier and the Industrial Capital Partners or ICP companies as an investor, but also considering the best way forward for Aker Horizons. Our strategic thinking is about energy addition more than energy transition. Still, as an industry, too many debates center on one energy source versus another rather than considering the entire integrated complex system with a goal of achieving the greatest possible effect, meeting demand while reducing emissions at the lowest cost and the shorter time possible. It's this system thinking that forms the basis for Aker's industrial growth and strategy within energy. First, we consider how to get more out of the existing system. For example, by investing in technology that increases capacity utilization in already installed infrastructure. Secondly, how to reduce emissions, for example, decarbonizing oil and gas production through energy efficiency initiatives, electrification or carbon capture or by investing in new sources of energy. Today, Aker is positioned to capture value along the entire value chain of decarbonization and low carbon investments, both through the investor and operator role as well as Aker Solutions position, as an EPC provider. A few words on each of these investments from an ownership perspective. Starting with Aker Solutions. Oil and gas projects with focus on low emissions and low costs remain the core business of Aker Solutions. Like many of its peers, Aker Solutions ventures into the renewable sector, have encountered significant challenges, such as elevated inflation and supply chain disruptions, leading to negative profitability in this part of the company. In response, the company has adopted a more selective approach to contract models and simplified work processes. Aker Solutions still secured approximately NOK17 billion in projects wins with offshore wind and carbon capture so far in 2025. And we believe there's potential for future growth in renewables going forward alongside the core oil and gas focus. Next, Industry Capital Partners or ICP. The company's early ambitions within green energy investments proved in hindsight to be overly optimistic. As the market has corrected, the complexities of this transition have become clearer. ICP has now adopted a more focused strategy centered around two companies: ICP Infrastructure and ICP Asset Management. The decision to move away from venture capital and private equity is to better align with its own and Aker’s strengths. Infrastructure is closely aligned with Aker’s core competency, while publicly listed equities is the core expertise of the team from the Norwegian oil fund. Both companies are attracting interest from institutional investors globally. ICP Infrastructure is initially seeking platform companies in data centers and renewables, while ICP Asset Management plans to launch its second active global equity fund, a concentrated high conviction portfolio in the first half of this year. And lastly, Aker Horizons, where the key focus going forward is on de-risking projects and maintaining capital discipline to drive value creation. In mainstream renewable power, cost optimization measures are being implemented, while ensuring successful delivery of projects under construction and move new solar and wind projects towards final investment decision. In Northern Norway, the Narvik Green Ammonia project is progressing and with the increasing demand for AI and cloud computing, Aker Horizons is also working on data center opportunities on the Narvik properties. Additionally, following the sale of 80% of its carbon capture business to SLB, Aker Horizons portfolio company, Aker Carbon Capture announced its next strategic steps to balance immediate shareholder returns with strategic investments. A dividend distribution of NOK3.5 billion allows the company to maximize shareholder value while reinforcing its ability to act as a responsible owner of SLB Capturi. And finally, Aker Horizons met a broad range of fixed income investors in January regarding a potential new bond issue. Based on the response, the company did not pursue a potential bond offering, and it’s currently working to optimize the overall capital structure. Moving on to Cognite. The AI race between U.S. and China has captured headlines in the recent weeks. Both nations are heavily investing in AI to gain technological supremacy, which has significant implications for global industries. It heightens the demand for advanced data and AI technologies as well as increased data center capacity. However, the competition is not just about developing advanced AI models, it’s also about ensuring these models are trained on high-quality contextually relevant data. Companies that can efficiently manage and utilize their data will be the primary beneficiaries of this AI race. AI is only as powerful as the data in processes. Many organizations struggle with fragmented, inconsistent and incomplete data, which hampers the ability to leverage AI tools efficiently. By investing in robust data architecture, implementing stringent data governance practices and prioritizing data quality, data can transform into a valuable asset. Clean, well-organized data will enable AI to enhance operational efficiency, optimize resource allocation and drive innovation across industries. Cognite's core product, Cognite Data Fusion or CDF, excels in orchestrating both unstructured and structured industrial data. It's designed to handle complex asset-heavy industrial data projects and the advanced data modeling capabilities bridge the gap between raw data and actionable insights. CDF models the entire value chain from design to construction, to operation and allows users to seamlessly share data with partners and suppliers in real time. Thus, leveraging – by leveraging Cognite's expertise, companies can ensure data is not only clean but contextually rich and ready for AI applications. Cognite's strong commercial development continued to accelerate in 2024, ending the year with solid momentum. The company's annual recurring revenue reached all-time high, increasing to US$94 million at the year-end. This is an increase of close to 40% from the year before. In addition, the company's total revenue as well as the number of active users also reached record highs. Cognite was recently ranked as the market-leading DataOps and AI platform for enterprise scale complex industry data management projects globally. We are just scratching the surface of Cognite's potential. In closing, we are in a new era of global uncertainty and volatility. As we look ahead, it's evident that our geopolitical radar needs to be finely tuned and our strategic thinking flexible. Aker remains committed to navigating this new era with resilience, leveraging core strengths in our industrial portfolio using our active ownership, fostering robust partnerships and embracing technological advancements. We closed 2024 with high activity and more streamlined portfolios following several important transactions during the year. As we embarked on 2025, we face a complex macroeconomic environment with political and economic uncertainties beyond our control. However, it's important to remember that challenges often give rise to opportunities. By leveraging our robust industrial foundation, we are well positioned to continue to deliver shareholder value. That concludes my portion of today's presentation. I now hand it over to Svein Oskar Stoknes, who will take you through the quarterly financials.
Svein Oskar Stoknes: Thank you, Øyvind, and good morning. I will start out spending a few minutes on Aker’s financial investments before I go through the fourth quarter results in some more detail. The financial investments portfolio accounted for 18% of Aker’s total assets or NOK11.7 billion, up NOK381 million from the previous quarter. As before, the main components on the financial investments are cash, listed financial investments, other equity investments, real estate, interest-bearing receivables and non-interest-bearing assets, all of which I will now go through in some more detail. Then as usual, starting with cash. Our cash holdings represented 1% of Aker’s gross asset value or NOK617 million, down NOK8 million from the previous quarter. The cash inflows were dividends received of NOK5.1 billion, of which NOK4.1 billion from Aker Solutions, NOK888 million from Aker BP, NOK98 million from Solstad Maritime and NOK15 million from AMSC. The main cash outflows in the quarter were primarily dividends paid of NOK2.6 billion, debt repayment of NOK1.9 billion and loans to and investments in portfolio companies of NOK293 million, of which an equity investment in Aker Property Group of NOK285 million was the largest component. And cash outflow for operating expenses and net interest were NOK248 million in the quarter. Listed investments included in our financial portfolio represented about 3% of Aker’s total assets at the end of the quarter or NOK2.2 billion. This was up NOK52 million from the previous quarter, driven by value increase on our investment in Philly Shipyard of NOK75 million. And as a reminder, our investment in Solstad Offshore is reported as part of Industrial Holdings from the first quarter of 2024 and the comparative figures have been represented. Next, other financial investments that combined represented 14% of Aker’s gross asset value or NOK8.9 billion in total. Aker’s real estate holding, Aker Property Group, stood at a book value of NOK1.8 billion at the end of the quarter, up from NOK1.5 billion in the previous quarter. The increase was driven by an equity investment of NOK285 million. Interest-bearing receivables totaled NOK4.3 billion, slightly up from NOK4.2 billion in the previous quarter and include a NOK2 billion loan and a NOK1.3 billion convertible loan to Aker Horizons. Other equity investments ended the quarter at NOK1.6 billion, while non-interest-bearing assets amounted to NOK0.7 billion. Then let’s move to the fourth quarter financial highlights for Aker ASA and holding companies, and I will start with the balance sheet. As a reminder, in our accounts, we use the lowest of historic cost and market values. At quarter end, the book value of our investments amounted to NOK28.1 billion, an increase of NOK246 million during the quarter. This increase is primarily explained by the mentioned equity investment in Aker Property Group of NOK285 million in addition to positive value adjustments for our investment in Solstad Offshore by NOK204 million. This increase was partly offset by negative value adjustments in Aker Horizons of NOK146 million. The book value of our equity was NOK25 billion at quarter end, up NOK314 million, explained by profit before tax of NOK4.9 billion in the quarter, offset by dividends paid in the quarter of NOK2.6 billion and the ordinary dividend allocation for 2024 of NOK2 billion. The fair value adjusted assets or gross asset value totaled NOK65.4 billion. Subtracting for debt and dividend allocation, the net asset value was NOK56.2 billion at the end of the quarter. This equaled NOK756 per share and value adjusted equity ratio was 86% after allocation for dividend. Aker had liabilities of NOK9.2 billion at the end of the quarter, of which bond debt and bank loans totaled NOK7 billion. The liabilities at year-end also included the NOK2 billion dividend allocation for 2024, representing NOK26.5 per share. And as Oyvind mentioned, the Board of Directors is proposing that the Annual General Meeting authorizes the Board to pay a potential additional cash dividend during 2025 based on the 2024 annual accounts in line with the practice from last year. Aker's financial position remains robust with a total liquidity buffer of NOK8.4 billion, including undrawn credit facilities and liquid funds. The net interest-bearing debt was NOK2 billion at the end of the quarter, down from NOK4.1 billion in the previous quarter. Our loan-to-value was 10% and about 70% of our gross asset value is in listed assets and cash. In terms of our debt maturity profile, the weighted average debt maturity was 3.6 years at the end of the quarter. During the quarter, we have repaid the Aker 15 bond amounting to NOK1.4 billion and repaid bank loans of in total NOK500 million. Taking available credit lines and the extension options on the bank loans into consideration, the implicit maturity of our total loan portfolio would be more than five years. Then to the income statement. The operating expenses in the fourth quarter were NOK95 million. During the quarter, Aker booked a total dividend income from Aker Solutions, Aker BP, Solstad Maritime and AMSC of NOK5.1 billion. The net value change in the quarter was negative NOK27 million, mainly explained by a value decrease in Aker Horizons of NOK146 million, offset by a positive value increase in Solstad Offshore of NOK204 million. Our net other financial items were negative NOK12 million. This was mainly explained by net interest expenses of NOK72 million and negative value adjustments on the AMSC TRS agreements of NOK23 million, and this was offset by net foreign exchange gains of NOK118 million in the quarter. And the profit before tax was then NOK4.9 billion in the quarter and NOK9.2 billion for the year. Thank you. That was the end of today's presentation, and we can then move on to Q&A.
A - Christina Schartum: Okay. Let's take the first question. Øyvind, you mentioned Aker Horizons and the ongoing process to optimize the company's capital structure. Can you say a bit more about this process and Aker's view on repayment of debt?
Øyvind Eriksen: Well, first and most importantly, Aker Carbon Capture announced earlier this week a distribution of NOK2.5 billion in cash dividend to Aker Horizons and other ACC shareholders. And in addition to that, Aker Horizons continues to develop its portfolio of assets and businesses, ultimately with a goal to partly monetize and free up capital. And last but not least, the refinancing of an existing debt, both external debt as well as the shareholder loan will be a task, which will be solved during the course of this year.
Christina Schartum: Great. Next question is Cognite moved its headquarters to the U.S. and you spent time on the AI momentum in your letter. What is the latest on preparing for the IPO? And will a sale to an industrial partner be more likely?
Øyvind Eriksen: Well, the best way to create optionality, including positioning the company for a possible IPO is to build a great company, which is attractive to third parties. So we have no specific time line for an IPO. But we appreciate the fact that Cognite continues to grow, impressive increase in annual recurring revenue last year, entering into other industry segments than energy, manufacturing in particular, and moving the center of gravity, including the headquarter to the United States, all in line with the initial strategy and plan. So if Cognite continues on the track, they have embarked on, I'm pretty sure that opportunities will come.
Christina Schartum: Great. And next question is, what do you see as the main value triggers in Aker going forward?
Øyvind Eriksen: That's a big question. But Aker BP is not only our biggest investment, but also a company which continues to grow. Aker BP announced the long-term production profile earlier this week, which will increase from now up to the end of this decade. For Aker and other shareholders, that means increased – not only increased production, but also an increased cash flow subject to oil price and the increased cash flow will again support an increased dividend in line with Aker BP dividend policy. So Aker BP is a very important asset and an expected value driver in the Aker portfolio longer term. But in addition, we have a wide range of investments in a number of different industry segments. And the software portfolio is another exciting value trigger in the portfolio. We have already talked about Cognite, but another investment in the software portfolio, which is somewhat under-communicated is ACE. It's a younger company, less mature, but with a product which has a significant market potential. So medium to longer term, ACE could surprise the market by rapid growth and contribute also positively to our value creation. It's worth noticing that the value of ACE in our net asset value today is, if memory serves me correctly, around NOK35 million or NOK37 million. And it's fair to assume that already today, the real value is significantly higher. And then we have more focused strategy, and we will prioritize investments, which will generate cash flow. Part of the new and more focused strategy is to do more in real estate. And the ultimate goal is to build up a real estate yield company and more in line with what we have done in the past in the shipping segment when we had Ocean Yield as a significant portfolio company with a more predictable dividend – upstream dividend to Aker. Going forward, the goal is to create something similar with Aker Property Group as the vehicle.
Christina Schartum: Great. And on the topic of upstream cash, there's a question. You had an impressive dividend flow talker in 2024 with more than NOK11 billion, including some extraordinary. Can you please indicate how you see this upstream cash situation for the next year?
Øyvind Eriksen: Well, it has been part of our strategy for quite a while to increase year-on-year the upstream cash flow to Aker. It's partly about the dividend policy applied by each individual portfolio company. And it's also partly about extraordinary dividends, triggered by monetization or value-accretive transactions. So 2024 was a fantastic year. But 2025 will also be a year in line with the said strategy. Based on what the portfolio companies have already announced, Aker will receive, if memory serves me correctly, NOK5.5 billion in upstream dividend. And for those of you who follow the Aker portfolio, you will notice that we have also announced transactions, which will lead to – which could lead to extraordinary dividends as transactions did in 2024. So upstream dividend to Aker continues to grow. And the base dividend will be based on dividend policies from each and every portfolio company.
Christina Schartum: Great. Over to Aker's dividend policy. You communicated a dividend policy of 4% to 6% of the net asset value. Today's announcement indicates a level above that range. What is the reasoning behind this decision? And will Aker's dividend policy be updated again?
Øyvind Eriksen: Well, we updated a few months ago the dividend policy. And the current dividend policy is to pay between 4% and 6% of net asset value in cash dividend to our shareholders annually. The dividend policy will not be changed. The dividend policy is what our shareholders should expect as a guidance from the company. However, Aker is also opportunistic. So our Board has the freedom to decide on a different dividend based on relevant criteria. This time, the discussion was about the financial strength, which is great, the upstream cash flow last year and expected this year. And last but not least, the investment capacity we need in order not only to support existing portfolio companies, but also pursue new investment opportunities. So this time, we decided to propose a dividend beyond the current dividend policy. And I will not rule that out in the future, but the guidance to the market is 4% to 6% of NAV.
Christina Schartum: Yes. Great. And then last question that I've received is Aker Carbon Capture. What is the reasoning for the dividend payment to come so long after the transaction closed?
Øyvind Eriksen: Well, first and foremost, Aker as well as our fellow shareholders should appreciate the fact that we have created a lot of value from Aker Carbon Capture. The point of departure was Aker Carbon Capture operating as a part of Aker Solutions. I think it's fair to say that the implicit valuation of ACC as a part of Aker Solutions was close to zero. Hence, we decided in 2020 to spin off the carbon capture business and establish Aker Carbon Capture. And we did that at a valuation of NOK1.7 per share. This week, ACC announced a cash dividend in the total amount of NOK5.8 per share and enabled by the transaction we did with SLB. And in addition to that, Aker Carbon Capture will keep cash to support its ownership in SLB Capturi. And the value per share of that cash amount is NOK1.7. So if you sum that up, it's a significant value creation to shareholders, which is very much in line with how Aker typically creates shareholder value in a combination of organic growth and transactions. Then you can argue that it took a while before we clarify to the market how to manage the proceeds from the SLB transactions. And it has been a somewhat complex discussion in the ACC management and the ACC Board, partly about how to support – what it will take to support the 20% shareholding in SLB Capturi, partly about alternative investment opportunities and partly about dividend. But today, we know the answer, and it's a great value creation for an Aker Horizons and other ACC shareholders.
Christina Schartum: Great. No further questions. So thank you, Øyvind and Svein Oskar. That concludes today's quarterly presentation. Thank you for watching.